Ian Kelly: Good morning, everybody, and welcome to the SCOR Group third quarter 2017 results call. And I please ask you to consider the disclaimer on Page 2 of the presentation, which indicates that the financial results for the third quarter 2017 included within this presentation are unaudited. With this, I would like to give the floor to Mr. Denis Kessler, Chairman and CEO of SCOR, who is joined on the call by the COMEX team. Denis?
Denis Kessler: Thank you, Ian, and good morning, everyone. In the third quarter, which as you know marked by a high frequency of large natural catastrophes, SCOR clearly demonstrates its resilience and shock absorbing capacity. Indeed, it is a policy of the group to anticipate these risks and to absorb them within the framework of the group's risk appetites. We do this through different means: first, through clearly defining your risk tolerances and regularly checking exposure against them; second, through maintaining a strict underwriting discipline under a controlled risk-appetite; third, through maintaining a high diversification of risks across both business lines and geographies, and on this point, as you know, we have the best diversification in this industry; and fourth, through maintaining a robust capital shield, and in this quarter we are seeing clearly the strength and effectiveness of a retro program come into play. Therefore, SCOR's core principles are instrumental in the group's shock-absorbing capacity and is the protection of the group solvency. So it is no surprise to us, as the group successfully absorbs this series of major shocks. And it is no surprise to us that subsequently solvency at the end of the quarter is in the upper half of the optimal range. Major catastrophes have punctuated history. We still have in mind the destructive hurricanes in North and Central America in 2005. We have in minds a major earthquake which hit Chile in 2010. And, of course, the Japan Tōhoku earthquake and tsunami, as well as the floods in Thailand which occurred in 2011. Here on this graph, we have the history of these shocks to a balance sheet since the last 11 years, including financial and sovereign debt crises, political uncertainties, and of course, natural catastrophes. As human beings, we can only deplore these shocks, of course, but as reinsurers, our duty is to anticipate and to absorb these events. As this graph demonstrates, the group has not only successfully anticipated and absorbed these shocks, but it has also grown through them by more than tripling its shareholders' equity and successfully taking its credit rating to best-in-class [across experience] [ph]. Let's move to Slide 5. In anticipation of large events such as the natural catastrophes which we faced recently, we have done our job by maintaining a strictly controlled risk appetite on the one hand and a robust and effective capital shield on the other hand. As you know, SCOR maintains an upper-mid-level risk appetite. Our U.S. P&C book is growing but it's still underweight. And we're [list exposing a piece to extreme U.S. caps] [ph]. We maintain a biometric risk focus on July portfolio, and we have a conservative asset management policy. Overall, this brings an optimized risk composition with superior diversification benefits. Regarding the capital shield, no surprises either. At SCOR, we've been a strategic buyer for the last 15 years, and we have always favored business continuity with all retrocessionaires. Being well protected in case of shocks is an integral part of a capital shield strategy. And surprisingly, retrocession program is what exactly as we expected it to. Furthermore, our capital shield remains in place and effective for the remainder of the year. We have not reached the upper limits. We have not even used reinstatements. In fact, we still have ample unused capacity which would fully protect the group in case of further material events in the fourth quarter. The ILS Atlas instruments have not been triggered by these events and the probability of €300 million contingent capital facility to be triggered in 2017 is extremely remote. Let's move to Slide 6. We see on this slide that we did the job correctly. What does it mean? First, in order to anticipate shocks, we have a system of limits in place, against which we continuously check our risk exposures. We ensure they remain consistent with the risk appetites. As you can see from the numbers, the actual losses of 2017 hurricane events are still considerably below those associated with the 1-in-200-year scenario for North Atlantic hurricane. But if there have been of such an extreme magnitude, our solvency ratio would still have been within the optimal solvency range. Second, as a consequence to SCOR's core principles in terms of underwriting discipline, controlled risk appetite and robust capital shield. And as a testimony to the group's shocks-absorbing capacity, SCOR solvency position remains very strong, despite the Q3 nat cat shocks, extensive 213% at the end of Q3 2017 into the upper half of 185% to 220% optimal solvency range, as we said it was. So for us, everything has worked, as it should. Let's go now to the following slide. In the light of the estimated industry losses, insured industry loss from the Q3 nat cat events, we believe, it's a strong condition, that conditions are set by significant price correction beyond the U.S. market alone and beyond the cat line of business alone. We are, at SCOR, structurally well positioned to benefit from a change in the P&C environment. We are well positioned to benefit from a change in the industry dynamics for several reasons. First, we are an excellent franchise with expertise globally, but particularly in the U.S. Being underweight in this country with a potential to grow faster than the markets. Second, in addition to being underweight, clients and potential clients, who have less reinsurance recoverables with us and we bring a very strong credit rating to the team. As you know, we were upgraded less than two months ago by A.M. Best just before Monte Carlo and this rating is key for the U.S. market. SCOR's teams will ensure smooth and swift claims payment. We started to do so, while continuing to stay alongside SCOR's clients to face through to challenges and to find their right solutions in this new market environment. Let's move to Page 8. I described the anticipation and absorption of the Q3 events, and the effectiveness of maintaining a controlled risk appetite, and a robust and efficient capital shield. I described how as a result, the group has maintained into upper half of the optimal solvency range and is now structurally well placed to capture profitable growth in the tragic P&C environments. Consequently, as everything has been working as it should, do not expect major changes going forward. SCOR confirms the consistency of its strategy, aims at strengths of its technical underwriting fundamentals, and it is paramount that we continue to run the group in a manner that secures a Tier 1 credit rating. The group has therefore continued to execute its strategic plan Vision in Action with no change in risk appetite, no change in underwriting policy, no change in capital shield policy. All the same, all the components of the capital management policy remain unchanged. We continue to manage the solvency of the group in the upper-half of the optimal range. The dividend policy remains unchanged. The €200 million share buy-back program is maintained. And as we stated in the last Investor Day in September, the share purchases as we have started was a program running until mid-2019. And finally, the merger of the three SE legal entities is absolutely on track. We expect it to be completed by early 2019 with a potential solvency benefit of up to €200 million. SCOR continues with successful execution of Vision in Action as planned both on profitability target and a solvency target are unchanged, also same the P&C and life technical assumptions remain unchanged. So thus, the assumption of the return on invested assets. All the teams at SCOR remains mobilized to deliver the ambitious development plan set in Vision in Action. And let me now hand over to Mark for the financial details. Mark, the floor is yours.
Mark Kociancic: Thank you, Denis, and good morning, everyone. So let's begin on Slide 10 and I will walk you through the financial highlights of the Q3 results. SCOR wrote more than €11.1 billion of gross written premiums in 2017, representing a 9.3% increase over 2016 at constant exchange rates or 8.9% at current exchange rates. This top-line growth was fueled by the strong contribution of both business engines, SCOR Global P&C, with a 10% growth at constant exchange rates and SCOR Global Life with an 8.7% rise at constant exchange rates. The P&C net combined ratio for the first 9 months of the year stands at 107.5% with a 16.8% nat cat ratio. The normalized net combined ratio however, stands at 95%, indicating that the attritional loss ratio was in line with the assumption made for the Vision in Action plan. Life technical margin reached 7.1%, slightly above the Vision in Action assumption. And finally, SCOR Global Investments delivered a good return on invested assets of 2.6%. Francois will confirm later on that we are in line with the 2.7% to 3.2% range indicated for the full year of 2017. As previously communicated, during the quarter, our set of results has been impacted by an exceptional series of large losses from natural catastrophes. SCOR's net income for Q3 2017 year-to-date stands at €25 million. And I will come back later on to the net income and return on equity to give you some color. Let's move to Page 11. And I'd like you to walk you through that normalization of our net income and return on equity. As of Q3 year-to-date, you will have noticed that the group had a reported return on equity of 0.5%, excluding exceptional items such as the Ogden rate change, the Q1 reserve release and the Q3 severe nat cat losses, and reflecting a 6% budgeted cat loss ratio, the annualized return on equity would stand at 8.3% in the first nine months of 2017 or 765 basis points above the risk-free rate, indicating we were on track to reach our target return on equity this year. Moving to Page 13, shareholders' equity decreased over the first nine months to €6 billion. The reduction comes primarily from the €447 million currency translation adjustment reduction, which is due to the weakening of the U.S. dollar in the first nine months of the year and from the €308 million dividend payments in the second quarter. Net income, of course, has been affected by the nat cat events and this translates into a book value per share of just under €32 at the end of September. As a consequence of the reduced equity, our financial leverage stands at 26.3%, temporarily above our Vision in Action assumption of up to 25%. And we fully expect this to come back within our range as net income is earned in future quarters. Let's move on to Page 14, we are in line with our expectations and SCOR generated strong operating cash flows of €671 million, slightly above the €200 million per quarter run rate that we had always indicated. The SCOR Global Life cash flow has shown some catch-up since Q1 2017 and is starting to normalize as expected. On SCOR Global P&C side, cash flows continue to be strong and in line with expectations. As a reminder in Q3 2016, SCOR Global P&C benefited from an approximately €300 million one-time funds withheld received, thus explaining the variance versus the previous year. The total liquidity of the group stood at €1.6 billion at September 30, with the rebalancing of the investment assets having started during the third quarter, in line with the Vision in Action plan. Let me now hand over to Victor who will give you more details on the P&C results.
Victor Peignet: Thank you, Mark, and good morning. This quarter has been marked by the recent nat cat activity. This isn't the first time we've been confronted with the occurrence of devastated nat cat events. Each time it happens, the industry's response and our own response creates mixed feelings. That is on one side satisfaction and pride in terms of contributing to the mitigation, the repairs and the recovery but there is also frustration and regret regarding the difficulties involved in overcoming the challenges of the protection gap. These exceptional series of events is no exception when it comes to the frustration and the regret. But we are all fully committed and working very hard to ensure that, once again, the reinsurance industry proves itself and its added value. We have already communicated on the impact of these nat cats on the quarter and a year-to-date basis, for the insurance and reinsurance markets and for us. While the series of losses, which occurred in Q3 and to which the wildfires in California much be added as a Q4 event, remains within the shock-absorbing capabilities of the reinsurance market, our view is that its impact on the annual earnings of insurers, U.S. principally and the reinsurers, can't be without consequences. In addition, most probably all the participants in the chain, whether they be insurers, reinsurers, retrocessionaires or composites of [now-down exit] [ph] scenarios, and realized and analyzed how much worse the situation could have been if Irma had continued to go East and if the insured losses from Irma alone had reached say $125 billion. Conclusions from this analysis, have already been drawn by some players and more are due to come both from them and from others. As far as we are concerned these events have not led us to change our view of the nat cat risk, we carry. For us, taking out this impact, the results of this quarter show a growth rate and an attritional plus commission ratio that are totally in line with our assumptions and latest indications. Namely, of an annual growth in the upper part of the 7% to 8% range and a normalized net combined ratio at or slightly below 95%. The growth remains largely driven by the expansion of our footprint in the U.S. market as indicated in Vision in Action and during our last Investor Day on September 6. Whilst the information about these events continues to flow in at a slow pace from the affected seasons and large corporations, the estimate show consensus around the total insured loss that matches the $95 billion U.S. dollars on which we partly based estimates and on which we have already communicated. Similarly, the market reactions are now trending towards the point of view that we have developed since Monte Carlo, i.e., a general acknowledgment that these events have been a catalyst and that they are leading to a wide reassessment of the business and of the growth and net risk by all the actors in the risk transfer chain, covering most geographies and line of business. It's quite significant that the discussions in the U.S. market have not stayed confined within the boundaries of property cat and property lines of business, but have quickly spread into casualty and financial lines. There is also a general acknowledgment that such a reassessment cannot, not drive changes in underwriting and pricing after six consecutive years of gradual deterioration in the terms and conditions of insurance and reinsurance, and the erosion of margins. The next phase following these reassessments will be seen through the 2018 renewals likely through expanded vertical and lateral reinsurance protections being purchased and through tightened reinsurance terms and conditions being quoted. Our expectations are that the offer will be there, but at revised prices and with more differentiation between the buyers being applied by the providers and that demand will increase. The main takeaway from these events can be summarized in the following points. From a market perspective, assuming that about 60% of the total insured losses from Harvey, Irma and Maria will be borne by reinsurers and capital market capacities primarily small collateralized reinsurance, the total reinsured loss represents about 1/3 of the US$80 billion annual reinsurance premium generated by the U.S. market insurers, all line combined. It represents about twice the $30 billion annual U.S. cat and non-cat property ceded premium and nearly 5 times the $13 billion cat ceded premium. Considering that the U.S. market generates half of the all reinsurance premium worldwide and that reinsurance is a global business. These exceptional series of events put a heavy load on the combined ratios of the industry. But that load will be not be evenly distributed. For SCOR, based on our estimate of the total insured and reinsured market losses our growth loss of $1.18 billion is in line with our current U.S. market share of about 2% and our net of retrocession loss of €598 million pre-tax is in line with our risk appetite. Our retrocession program has responded as expected and off-loaded about 40% of the gross loss from our P&L. By the way, if we headed to face the same series of events with Irma being $125 billion insurance industry event, there would only have been a marginal difference on the total net loss of the group. On the rest of the year, our underwriting capabilities are unaffected, and we continue to be adequately protected by our retrocession program without having had to go to the market to buy replacement or additional coverage. For next year and the remaining period of Vision in Action there is no change in our plan. We're progressing normally in the renewal of our retrocession program and have it started the process very early, as we usually do, we are already well advanced. We are confident in our ability to satisfactorily complete the renewal of the renewable parts of the program. As we highlighted in our Investor Day, which took place on the September 6, we believe that we are very well positioned to benefit from the new market environment and the effect of the series of exceptional events should be beneficial to us and is likely to enable us to accelerate the deployment of our planned business development, particularly in the U.S. While our claims teams are actively engaged in supporting our clients, our underwriting and pricing teams are ready to provide lead quotes and are already busy working on the renewals that are brought early to the market. I will now hand over to Paolo for the presentation of the Life Division results.
Paolo De Martin: Thank you, Victor. Global Life continues to deliver a robust performance in the first nine months of 2017, both in terms of growth and profitability. Overall, we have recorded gross written premiums of €6.5 billion, representing an increase of 8.7% at both current and constant exchange rate. This strong growth is doing particular, but a continued development of our Life and Health franchise in Asia Pacific, where we have grown premiums by over 30% with both Protection and Financial solutions showing a strong pipeline of opportunities. This is combined with the continuing healthy pipeline of new business coming from EMEA and the Americas and spread across all product lines. For the full year, we expect the growth of 6.5% to 7.5%, at constant FX compared to 2016, and slightly ahead of the Vision in Action growth assumptions. The technical performance for the first nine months of the year remains strong, with a technical margin of 7.1% slightly above the Vision in Action assumption. The profitability of new business continues to meet the group ROE target. I want to note that the U.S. mortality claim experience has been higher than expected. The overall technical results of the division is not impacted as it continues to benefit from an active in-force management and the strong reserve position set up at the acquisition of the Transamerica Re and Generali US portfolios. Overall, we confirm the Vision in Action assumption of 6.8% to 7%. I'll now hand over to Francois for more details on our investment strategy.
Francois de Varenne: Thank you, Paolo. SCOR's total investment portfolio reaches €26.6 billion at the end of September with an invested asset portfolio of €18.4 billion compared to €19.2 billion at the end of 2016. This evolution reflects primarily the weakening of the U.S. dollar against the euro since the beginning of the year. In the third quarter of 2017, SCOR Global Investments resumed the rebalancing of the investment portfolio towards Vision in Action asset allocation after a pause in Q2. In that context, our liquidity continues to be progressively reduced at 8% compared to 9% at the end of the second quarter. Our exposure to corporate bonds increases by 3 points to reach 43% of invested assets very close to the level achieved at the end of March 2017. This rebalancing was achieved by reducing exposure to government bonds, which represents only 22% of the investment portfolio today. Our fixed income portfolio remains of very high quality, with an average rating of A-plus. Its duration increases slightly to 4.6 years compared to 4.5 years at the end of the previous quarter. At the end of September expected financial cash flows from the fixed income portfolio over the next 24 months stand at €5.6 billion. SCOR Global Investments delivered 2.6 return on invested assets in the first nine months of 2017. Restated from natural catastrophes impacting our ILS portfolio in the third quarter, the normalized return on invested assets in the first 9 months of 2017 would reach 2.7%. We benefit from a good investment rate of 2.6% at the end of September, which enables dynamic management of our investment policy. As market conditions are met, the rebalancing of the investment portfolio towards Vision in Action asset allocation will be continued during the next quarters. We confirm of 2.7% to 3.2% estimated range for the full year 2017, for the return on invested assets, according to current market conditions. With this, I will hand it over to Ian Kelly, for the conclusion of the presentation.
Ian Kelly: Thank you, Francois. On Page 18, you will find the next scheduled events starting in early February with the SCOR Global P&C January renewals, the precise date will be confirmed shortly. This will be followed by the full year 2017 results on the February 22. We will find as well the conferences, which we are planning to attend for the remainder of 2017 and early 2018. So with this, we can start the Q&A session and a quick reminder to keep to two questions each. Thank you.
Operator: Thank you. [Operator Instructions] We will now take our first question from Guilhem Horvath of BNP Paribas. Please go ahead. Please go ahead, sir, your line is now open. Sorry. We will now take our next question from Nadine van der Meulen. Please go ahead.
Nadine van der Meulen: Yes, good morning. Thank you for taking my question. On the portfolio rebalancing, you assumed that - what do you expect the impact would be set at full year, sort of for full year between 2.7% and 3.2% return on invested assets? And where in that range do you expect to be? And also, on the cash, do you still expect to bring that down towards 4% or 5% as you guided previously? And the realized gains were quite lower this quarter. Can you talk about the drivers and what your expectation there is going forward?
Mark Kociancic: Yeah, thank you very much for your question. So I confirm that we have good market condition today. So we will pursue the rebalancing of the portfolio between now and the end of the year according to the Vision in Action asset allocation. So which mean as a consequence a reduction of the cash. For the expected return on invested assets for the full year, I think we will be in the upper part or at the top of the range. This will be supported by the ongoing rebalancing of the portfolio. Just an illustration, we invested €500 million during Q3 on corporate bonds and we were able to lock a book yield of 3.2% on this portfolio, so which is well above the income yield of the portfolio. So we should see this benefit in Q4. In terms of realized gain, that's something I mentioned in July, reiterated during the Investor Day. We are in the process of selling mature and large real estate assets in Paris. And I hope this should be done by the end of the year.
Nadine van der Meulen: And just one follow-up question on the life reinsurance side, you experienced higher claims for U.S. mortality. Should we expect more negative impact from U.S. mortality going forward? That's it from my side. Thank you very much.
Victor Peignet: I think it is difficult to say. We believe a large amount of what we're seeing right now is volatility. So we'll update you as we go. We believe we have the very strong reserve position and we have a very active in-force management program to be able to offset additional volatility coming our way.
Nadine van der Meulen: Thank you.
Operator: Thank you. We will now take our next question from Guilhem Horvath of BNP Paribas. Please go ahead.
Guilhem Horvath: Hello, can you hear me?
Victor Peignet: Yes.
Guilhem Horvath: Okay. So the first one is just coming back on the U.S. mortality, so it's a question for Paolo, I'd like to understand - so because you say on the slide which - that it is an underlying U.S. mortality can experience, so you implied the word underlying. And now you say, it's volatility. So I'd like to understand what's underlying and what's short-term volatility in this trend. And also, you speak about a large reserve and also in-force management. Can you elaborate a little bit more on how long can this reserve be there to sustain IFRS profitability going forward? Thank you. And the second would be for Victor. And you spoke about the renewal of your retrocession program and how confident you are. Still, even if you didn't see the pearley [ph] of this program, you had a little bit of contribution from retrocession also. How do you expect the prices to evolve into renewals in this program? And what would be the conditions for you not to renew the entire retro strategy going forward as it is today? Thank you.
Paolo De Martin: Yes, this is Paolo. I really meant underlying in the sense that if we wouldn't have told you, you wouldn't have seen it coming through the technical result. So maybe I used the wrong word there. But I used the underlying meaning, as the numbers roll out, there was underlying movements on the U.S. mortality. In terms of our long goal, I have the reserves there. I think we're very well reserved, given the very good purchase price that we had upfront in those acquisitions. So I don't see that going away too quickly.
Denis Kessler: Victor?
Victor Peignet: Well, Guilhem, as you know, our retro policy has been extremely stable for years, and people who are participating to our retro program have gone through, for most of them, Katrina or it's Irma [ph], they went through 2011. They see the behavior of the company in its buying of reinsurance year after year. So as I said, we start very early. We are among the very, very first ones in the market every year. I mean, generally in Monte Carlo, we already are into the negotiation of our retro program and this year was no different. So this is why I said we are well advanced. Well, we are having sensible discussions. I mean, don't forget that our retro is largely proportional and proportional or very diversified, so that's another element. So, yeah, when I say I'm confident, I'm confident, because we are already well into and we've got our lead quotes, we are carrying on. I would expect that to be completed as every year, early November. So then, as far as the pricing is going to be concerned, yes, there will be some increase in certain parts of the program. But at the end of the day, we retain 90% of our overall premium. So, well, any increase in the retrocession is on 10%. And as we said also, we are going through a market reassessment that goes well beyond the nat cat. So again, I'm not worried that this, whatever at the end of the day it's the price of our retro will be totally compatible with what we believe we can negotiate on the assumed risk.
Guilhem Horvath: Okay, thank you. Maybe a follow-up on this one, if you had to put a number on what could be the pricing evolution for the reinsurance business going forward, across the globe, what would be this number today?
Victor Peignet: I would not put any. Well, I would not publicly put any. I have my own ideas, but that's it. But we are entering into the discussions. We have some programs that are there to be quoted, some are already in the market. Well, I think what's going to be the fact this year and this is that - well, every client will basically be dealt with on its own merit. And then there will be in my opinion more differentiation. But I don't think it would be proper to indicate, well, the kind of a general - we know exactly for each client where we are in terms of actual pricing compared to technical pricing. Although the thing is that, depending on the starting point and depending whether that client has been affected by the losses or not, there will be a negotiation to get to technical prices or as close to it as possible, or above it if it's required.
Guilhem Horvath: Okay. Thank you very much, Victor and Paolo.
Operator: Thank you. We will now take our next question from Frank Kopfinger of Deutsche Bank. Please go ahead.
Frank Kopfinger: Yes, good morning, everybody. I have two questions. My first question is also on the renewals outlook. Victor, I think you made very strong comments that you even expect improvements, I would say, in loan loss affected lines, also other geographies, other lines of business. But my key question is, why should really clients accept price increases in these loan loss affected lines or what's the rationale behind this? And then secondly, probably more on for Francois, also in the Life business, within the Life division, the regular investment income or as you call it, investment revenues, they have been very lower, like €27 million, 20% decline quarter-on-quarter. What is the driver behind this?
Victor Peignet: I think the answer to the first question is the essence of our business. Our business is a global business of mutualization of risk. We are - no client would have today the condition it has without being part of a pool, a pool of risk. That pool of risk today is affected by major losses. The consequences of those major losses have got to be redistributed. If there is no redistribution, there is no insurance and reinsurance system.
Denis Kessler: On your question on the investment income in the Life division, you have the detail on Slide 25 in the appendix. As a reminder, my mandate is to manage a global portfolio. Of course, we've had constraint for the life and the non-life division. And driver of the evolution in the Life division this quarter, is less - very less capital gain compared to previous quarter. Consider that it's not policy, it's just happened this quarter, no specific trend to be mentioned to this one-off event.
Frank Kopfinger: But my point was not so much on the realized gains, it was on this €27 million investment revenues. This really came down significantly. Was there any trouble beyond his or is this going to catch up as you're going to de-risk?
Denis Kessler: I don't know, no, I think that should be mostly your dollar effect.
Frank Kopfinger: Okay. Thanks.
Operator: Thank you. We will now take our next question from Andrew Ritchie [Patio Alpha] [ph]. Please go ahead.
Andrew Ritchie: Hi, there. Two questions, one is could you just clarify what the Solvency II impact of U.S. mortality was in the quarter. I'm assuming, as you think about as a kind of one-off catch-up rather than a recurring item? Second question, Victor, you're not changing your property cat risk appetite or your business plan. I think that's what you said. How do I square that with your degree of positivity about the environment going forward, I mean, isn't this the perfect environment to tactically increase your cat risk appetite and/or your business planning assumptions now look on the conservative side? Thanks.
Denis Kessler: Victor, maybe answer the first question.
Victor Peignet: So the impact of the U.S. mortality experience is in the range of 2 to 3 points of solvency ratio decline. And, yes, there is an element of catch-up in this, so this is not only purely Q3. So if there are reporting lacks, which have also accumulated in Q3 to some extent.
Andrew Ritchie: So can I clarify, is the mortality pre-2005, pre-2004 or is it more recent years?
Denis Kessler: Paolo.
Paolo De Martin: Yeah, what we are seeing is adverse mortality arising from [wire-T] [ph] insurance, some permanent policy, so universal life policy, issued somewhere between 2006 and 2009 timeframe. This is really focused on a few specific lines in these years. Prior to 2004 it's largely already in our fee gap, so those are eras that, yeah, prefer much worse than we're originally priced. But as we bought the books from 2011 on, we were aware already a lot of those issues and those are captured already in the value of the - in the purchase price effectively of the business. So what we're seeing here is more recent years.
Andrew Ritchie: Okay. Thanks.
Denis Kessler: The question of your changing risk appetite.
Mark Kociancic: I think, we're not going to change the risk appetite, that's for sure. We could certainly write more if that justifies. I think we'll adjust as we walk into the renewals. And, well, we'll have better clarity in, say, three, four weeks. And what I can say is that we have the flexibility to adapt the deployment of capital through the renewals and not through the 1/1 only, but through the 1/1 and, well, the May, June of next year, which is going to be more of a date for the U.S. than 1/1, where there is a limited amount of business that, U.S. business that renews.
Andrew Ritchie: Okay.
Mark Kociancic: So I think, we'll - probably, we can answer your question. When we will publish the results of the renewal beginning of February next year, we will have gone through 1/1 and if we have seen during the 1/1, the opportunity to adjust, then we'll communicate at that time.
Andrew Ritchie: All right. Thank you.
Operator: Thank you. We will now take our next question from Daniel Bischof from Baader Helvea. Please go ahead.
Daniel Bischof: Yeah, good morning, all. I have two questions for Victor. The first one on - since I'm obviously be interested to hear your view on the element nontraditional capacity, I mean, we entered Q3 with record high capacity at record low spreads, to what extent could this put a cap on price increase and we're seeing some banks already collecting money for 2018? And the second one, then on the loss estimated, I think you mentioned the numbers space in the market loss of €95 billion. So could you explain to what extent the €430 million based on a top-down view and how much visibility you have from the ceding [ph] side by now?
Ian Kelly: I think Denis, you wanted to make a comment about the previous question, maybe we could start with that.
Denis Kessler: You're too kind with me.
Ian Kelly: Thank you, yes, vested interest.
Denis Kessler: We - sure. It's really important to make the distinction as prices we can write more, taking to the same risk appetite. Because the answer is, of course, if conditions are met and we're quite optimistic about the fact that market dynamics today is in favor of reinsurer. In [bread and butter] [ph] that was clear. I have seen no one talking about price decreases. It's the first time. Usually, you have always one or two players talking about, it's not the case. Everyone talks about the rate increases and [subsequent durations] [ph] to be strengthened, everyone. For the size of it, we have to wait, of course, it should be on a client-by-client basis, market-by-market, business-by-business, we're quite optimistic. Now we don't change the risk appetite or whether you're going to expose the capital to lines or shares of business that's considered - I'm not speaking to the well-defined risk appetite from work. But of course, we can write more within this risk appetite framework, so that, if conditions are met we would write more. There is no question about it. And we'll inform you as soon as we see where the market is heading to. Let's say, we have a - as I said, we're quite opportunistic about the market dynamics factor. Right, so it's also the losses of competitors. We'll certainly - there are more and more now disclosed, paves the way for - no one has escaped to face those events. In those [ph] everyone is concerned, so more than others, and by the way SCOR seems to be less concerned than others, when you compare that to a net equity or to your income or to earnings. But having said that, all players are concerned, so this is a worldwide global effect affecting the entire industry. And that's why we expect the reaction to be worldwide and global, all business lines. Even marginal players, or let's say, second tier players, in Asia wrote business in the U.S. And they are concerned, and they do not have so much financial capacity, so that's why we believe that no one is going to be safe, and in other words, the reaction will certainly be quite significant. And we will inform you as soon as we have some, let's say, quantitative signs of this upturn of the market, which is my point of view, absolutely obvious. And can we go back to previous question?
Ian Kelly: The question, the first one [indiscernible], Victor.
Denis Kessler: Do you want to - do you want to answer, Victor?
Victor Peignet: Yes. Well, the - maybe you want to deal with the first one, Denis.
Ian Kelly: Maybe, Daniel, if you could just repeat your questions that would help.
Daniel Bischof: Yeah, of course, so the first was on non-traditional capacity, where we had obviously the record issuance outstanding and also quite low spreads into Q3? I was wondering to what extent this could be a put the cap on price increases.
Denis Kessler: Victor?
Victor Peignet: Well, I think as you know, and this is - those events are affecting primarily traditional players and collateralized reinsurance players with less cap bonds. For me it's quite simple, I mean, once you face those events, but it is quite probable that yes, they will be reloading the question is, what sort of expectations of returns, I mean, or having the investors. So I think, everyone is going to reassess, the expectations of return in few of what has just happened. Well, again, I mean, it's probably early days and we are not even having a clarity about how much the fact that the collateral being locked up is going to impact. So I think it's - we need to wait a few more weeks to see exactly where we are. In addition, any buyer would like to keep probably a balance between traditional and less traditional. Regarding the loss estimate that €95 billion, but - there also certain risk that are fit for being model than other risk that are less fit for being model, which is why our estimates are not purely based on model, they are based on model for the risk where we can rely on model, and they are based on really, well, assessment of contracts by the underwriters and our claims people based on their own knowledge of the contract for risk that are much less, not as well captured by model. So - and then you rebuild this blended approach, you rebuild it, and that's where the market loss figure that we are communicating that comes from.
Daniel Bischof: Okay. Thanks a lot.
Denis Kessler: Here too I would like to add something. Victor said, everyone today taking into account what has happened, absolutely true. But they also take into account what could have happened if Irma went east instead of going west. And it's certainly a key element. I think, it's the worst-case scenario, it happened, but could have happened, and in that case those market dynamics would be even different from the one we have here. So for investors in cat bond funds in terms we had in mind the scenario - alternative scenario, where certainly Irma would have destroyed the East Coast of Florida and going - kept north. And that's a lot of anxiety, because it would have been maybe here on historically bad. Next question, please?
Operator: Thank you. We'll now take next question from Jonny Urwin of UBS. Please go ahead.
Jonny Urwin: Good morning. Just two questions from me. Firstly, if we had up all of the losses announced by listed companies globally, so far both primary and reinsurance, we only get sort of about $35 billion, and that's actually announced initial estimates with not many yet to report now. So if we believe the modeling agencies, if industry loss is around sort of $95 billion or $100 billion, which you guys seem to do. Then, where do you think these unaccounted losses are? It seems like an awfully high number to be - what's full on the private markets or collateralized players. So any color there would be great. And secondly, I suspect you won't it, but can you give us an update on pricing rates that you've seen on early renewals coming to market, and anything anecdotal would be appreciated. Thank you.
Denis Kessler: Thanks, Jonny. Victor, you know where's the black hole?
Victor Peignet: No, unfortunately not.
Denis Kessler: Can you expand a bit - a little bit? Can you explain it a little bit?
Victor Peignet: Well, I think we have done, I believe, a pretty realistic work to get to the figures we are building our reserve on. So I listen to what you say, well, I see what we have in our books. So at least on our side, I'm confident that, well, what we are talking about is realistic.
Denis Kessler: Which exactly was the market share, many criteria have been taken into account, many parameters to estimate. It seems that $95 billion is, let's say, the center of the ballpark, maybe in the upper part of the ballpark, but still that's - what we put in our accounts are estimated on the basis of $95 billion events - series of events. Let's see, who is going to disclose and let's see what's going to happen in the weeks to come. I said this morning, I repeat, we don't expect to have to revise upwards, the estimates we have that for sure, that's an important statement, okay. So, hopefully I don't want to say anything. Do you have another question? Do you have a follow-up question, Jonny?
Jonny Urwin: Yes, with those - the other question which is, can you give us an update on pricing moves that you've seen on any early renewals that have come to market, or just anything anecdotal you could give us, that'll be great.
Denis Kessler: Victor, again.
Victor Peignet: There is no - there has been no more contract concluded of any significance in the past two or three weeks. One or two are in the market at the moment and being discussed, but no firm order terms have been given that could give us a good indication of where we are.
Jonny Urwin: All right. Thanks.
Operator: Thank you. We will now take our next question from Vinit Malhotra of Mediobanca. Please go ahead.
Vinit Malhotra: Yeah, thanks. Good morning. Thank you. So several things have been addressed. I'm just trying to clarify one or two. The - I'm quite curious to know how the retrocession you think of Victor. On your slide, you pitch a number, but you have a number, which stays $630 million protection not yet triggered. And from the - I mean, the stated reported numbers today, there is obviously €500 million, €600 million that went to retrocession. How should we look at - I mean, this is quite a lot of retrocession, given that your nat cat budget is much smaller, obviously net basis about €300 million to €400 million. But if you could just help us understand when you said 90% you retain, 10% is retroceded. How should we put in context of this very large retrocession cover? And second question is, just you obviously talked about ILS investors reassessing. I was curious then, given that SCOR Investment Partners also has €650 million AUM, which you manage, and some of that is cat bond. What's the feedback you're getting from investors? So in other words, from cat bond investors, is your expectation that they will reassess returns based on some feedback from your business experience of SCOR Investment Partners or is it your expectation from what you would normally expect? Thank you.
Denis Kessler: Maybe we'll start by first one.
Francois de Varenne: So on the ILS, so we manage it a little bit more than that - when you said we are above $1.2 billion today in terms of capacity of funds. Our main flagship [indiscernible] in which SCOR is co-invested, suffer from a negative performance in September of minus 7%, which is in line with what our investors have expected, and even compared to peers, we are a little bit less exposed. The first action that we observe from our investor, I remind you that we have no retail in our client base, so we only speak to clients, to professional clients in Europe, mostly insurance companies, banks, asset managers, and pension plans. The first observation is that our investors are waiting, asking questions. We have no redemption on any of the three funds we manage today. We signed a large mandate for UK pension fund over the last three weeks, so just that's [got the] [ph] event. And I think people are waiting for potentially increasing their investment capacity early next year if they see a positive trend in the pricing.
Vinit Malhotra: And isn't that going to bother the theory that ILS will come in, but not really have price effect? I mean, if there's a mandate coming in now and more expected, from just your experience.
Denis Kessler: It's a new mandate, it's - that's been decided. As you know, some of the funds of ILS would be blocked, early 2018. So it will certainly dry up a little bit, the capacities, that's what we believe. And people are hesitating to - is there a way to see how the pricing is going to go, to see whether or not they contribute again or not. So it's still a reopen question to know what would be the contribution of ILS to the 2018 market, I think so. My view is that it would be less buoyant than some people expect, because as I said, people will start to be able to try about the alternative scenarios. In one of the scenarios, it could have happened, they would have lost a lot. So - and that's in everyone's mind today. So we have to wait for the disclosure of the value of each ILS and cat bonds that will be the weeks to come to see how they are impacted, which is not yet fully transparent. And so it's - things starting to move - things are moving right now. Maybe on retro, Victor?
Vinit Malhotra: Great. Thank you.
Victor Peignet: Well, on retro, first of all, I mean, cat business for us represent about what 15% of the total premium. So we are not essentially a cat writer. We write all lines of business, so when I say that we have repay 90%, means we are repaying 90% of the overall premium. And then what we buy as a retro program is basically a cat program and high excess per risk on our large corporate business. That's what we buy as retro. So - and as well as our cat rate whole is considered, while a significant part of it is proportional. So that explains basically the - what I was saying our - the non-proportional part of our cat rate whole has been very little affected by the losses only some of the aggregate quarters have been partially affected.
Mark Kociancic: And all those protections are still in place in case we would have additional events by the end of the year, so that's why we didn't - we are in a good position in case, something would have happened again. So…
Paolo De Martin: Proportional stays in place of vertical non-proportional lease unaffected and some of our lateral protections have been triggered, but not all of them.
Vinit Malhotra: Okay. Can I just cross check my understanding. So this means that you are not very worried about retro pricing, because the non-proportional layers are still not hit. Is that a reasonable summary of what you have just said?
Denis Kessler: Well, we are not worried first of fall, because we believe that we have the relationship that guarantees that there is continuity, and there is a spirit of continuity and consistency in the pricing. So I mean, that's the first main point probably. And then, yes, a lot of our retro is totally unaffected. That's the fact.
Vinit Malhotra: Thank you.
Operator: Thank you. We will now take our next question from Thomas Fossard, HSBC. Please go ahead.
Thomas Fossard: Good morning, all. I have got two questions. First one would be for Victor. Victor, I fully understand your point saying that you've got confined risk appetite and you are not a cat writer. But still if I am taking this €600 million of Q3 losses and look at what you see representing in terms of the year's shareholders' equity of the group, at the end of June. If my math is right, I am reaching something, which is around 9.3%, 9.4%. Compared to many CRE [ph] losses disclosed this morning, I am reaching a number, which is 9%. So as if actually SCOR will have, I would say, similar risk exposure or market position, which is a bit counterintuitive compared to what you've said in the past on your, on SCOR being underweight and which should be also be underweight, Texas and Florida, so maybe if you could on this. And the second question would be on the dividend policy, you are saying that obviously there is no change in the dividend policy, I fully understand. Now, if we had to take a normalized Q4 results and applying 35% cat ratio, clearly this would be a cat to €1.65 dividend per share paid last year. So any clarification on what would be intention of the group despite the significant loss seasonality in Q3? Thank you.
Denis Kessler: You talk first.
Victor Peignet: Well, first just a slight correction, if you want to talk about ratio on equity you should not take the €600 million but the €430 million post tax, but that's the detail, which has its importance. But I think we, you need to compare on three - in my opinion three different parameters the equity, the premium and the annual earnings. And if you do those, if you take those three, and you put that in perspective, yes, you will see that we are relatively less affected. That's to me no - there is no rocket science in that. But I think you need to look at the three parameters to get a view that is not just through one angle, but through the three that are relevant.
Denis Kessler: All those table exist so it's - they are circulating everywhere right now, and you have to take the earnings, you have to take the equity, you have to take the premiums, whatever. And when you look, and you find out that we are in the good part of the curve, of the quadrant today, when I say good part relatively well less exposed that's clear. There are some competitors that are heavily exposed you know them, because you had rating entities reaction almost immediately, so easy to identify. But we have to wait still for full disclosure, before drawing a lesson. But we have the conviction and we have the demonstrations that where this is affected, everything being equal to the peers. It's a very important statement by the way. So now, on the dividend policy, I'll ask Mark to give a precise answer.
Mark Kociancic: Okay. Thank you, Denis. Just one clarification of the mathematics, Thomas, on your first point. So we had roughly €6.4 billion shareholders' equity as the end of June 30. So with the €430 million nat cat loss you are looking at a figure, just above 6%, not the 9% you referenced. But as Denis mentioned, I think you'll see all of these relative comparisons come out soon enough in the marketplace, since it's all public information. With respect to the dividend policy, I would draw your attention back to the IR Day slides we've been very clear about the methodology that we applied in setting the dividend. You're right, that there is only one constraint, which is the 35%. However, we do have a four-step methodology and it starts by securing the solvency position of the group, making sure that it's in the optimal range that it's where we wanted to support the operating plan of the group, and making sure that we're able to take advantage of the opportunities that we have forthcoming in 2018. And then we see how much of the dividend potential is sustainable going forward. So these three steps have not changed and will not change as we head into the next four months when we start making these types of decisions. So I would guide you to, I think, Slide 46 of the IR deck, and separately, just in terms of net income and so forth we have, there have been some - there is public information, I think about things that will probably benefit various companies in the industry, SCOR is one of them. You've certainly heard potential for positive reserve developments on Ogden, for example. Recently here in France, there was some material decision by the French Constitutional Court with respect to the withholding tax that we've spoken about frequently in every May, when we end up making these payments and that's a favorable ruling for companies like SCOR that have to make these dividend payments, and certainly I would point you to the guidance that we've provided on the return on investments as another area to look at. So I think our net income possibilities for the future are good.
Thomas Fossard: Mark, just a quick follow-up on the withholding tax, this was some single so had in mind. Would you expect, these to come at as a one-off cumulative, one-off impact as soon as Q4. Now that the decision has been given by the Court and State will have to comply to this judgment or I mean a bit more…
Mark Kociancic: Yeah, I expect the decision came about two weeks ago, actually I think two Fridays ago. So I expect it to be a Q4 event for the industry. I think there is a great deal of certainty in this decision. The state has - my knowledge, really only delaying tactics in terms of any kind of recourse, but not, there is no way to appeal it really. So I expect it to occur in Q4, and I expect it to be beneficial to the group.
Thomas Fossard: How much you would say in terms of one-off?
Mark Kociancic: Well, it's a 3% tax that's been applied to our dividend for the past four years, I believe. So I think you can calculate them the impact for us, it's roughly €300 million a year of dividends.
Thomas Fossard: So [you didn't] [ph] paid out externally, yes?
Mark Kociancic: It's something that SCOR pays the company, not the dividend recipient, withholding taxes 3% of the gross dividend payout annually.
Denis Kessler: We say it's a loss of €40 million, we cannot say it.
Mark Kociancic: I think if someone was to add up all the public information on our dividend payments that would be a very safe statement.
Ian Kelly: Thank you very much, Mark. Oh, sorry, I [indiscernible].
Mark Kociancic: Thank you.
Denis Kessler: Next question, yes.
Ian Kelly: So can we take our next question?
Operator: We take our next question from Kamran Hossain of RBC. Your line is now open. Please go ahead.
Kamran Hossain: Hi, everyone. Three questions for me. First, so just coming back to the really helpful kind of industry overview of losses that you gave during your presentation, do you have an idea of how much a loss will fall to ILS? I guess, it's coming back to your earlier questions around how we get to that €100 billion, but how much falls to ILS? And the second question, clearly some reference to competitors impacted or kind of having negative comments by rate agencies. I guess, in relation to that your Lloyd's syndicate, the channel syndicate looking to come into line that's going to kind of shortly, is there any capital to that needs to go into the Lloyd's syndicate? Thank you.
Denis Kessler: Victor?
Victor Peignet: I think on the second part, well the capital that is going to go into the channel, well will be a function of the approved SBF that is currently being discussed with Lloyd. So, but we have no particular worry about that, I mean, it's part of the normal operation. So big - no particular concern. I mean, we are in discussion with Lloyd's about our SBF and what we hope is to get to the safe landing on that and from their - is into capital requirement will be activated. Regarding how much the ILS is going to pick up from the loss, I think unfortunately in a market or unfortunately - it's not fortunate or unfortunate, it's a fact, the market is very, very fragmented today. And as we said from the beginning, we know how much it's going to cost us, what we don't know is, who are going to be the ultimate players. I mean, this will take some time before it emerges.
Kamran Hossain: Okay. Thanks very much.
Operator: Okay. We will now take our next question from Michael Haid of Commerzbank. Please go ahead. Your line is open.
Michael Haid: Thank you very much, good morning. First question, I'm still trying to understand a little bit more your retro protection to get between [€108 million] [ph] and €600 million. To my understanding, it's fair to assume that most of this gap is covered by proportional retro. So, and what you said is that the extra recovers have - the attachment points have hardly been hit. And for that reason, you also don't need to reinstate that much. That would be also consistent with your statement that any higher gross loss would not have a huge impact on the net loss. So is it fair to assume that if we've been obviously higher losses in the fourth quarter from U.S. wildfire, that this immediately hit your whole account or any aggregate covers? That is my first question. And the second question, I noticed that in the Q3, there must have been a significant amount of other nat cat losses aside of these U.S. hurricanes and the Mexican earthquake losses, can you talk a little bit about how much is lower and where they've came from?
Denis Kessler: See, summary of the retro protection of the group is right. The impact of Californian fires, Victor can you say a word about it?
Victor Peignet: I think during the quarter, we have very little in addition to the major losses, the four - the five actually. We have a bit on the Typhoon Hato, and a bit of floods here and there. But overall, this represents a - well exactly the right figure is €13 million, on top of the €598 million that is coming from the five. So there is very little other activity of cat in the quarter.
Michael Haid: And any other manmade losses or anything like it, because I was wondering that the combined ratio you saw it was quite high.
Victor Peignet: No, the combined - if you normalize the combined ratio, you take out Ogden and the reserve release, and you take out the - you bring the cat at six, which is the budget. You get to 95% - 94. something, but very close to 95%. So we are in a quarter, where, and you look at our attritional ratio, our attritional ratio again you need to normalize it from Ogden. So you need to remove about 2.9% of the 58%. Again, you are in an attritional which is 55% or something very, very consistent. But we are very pleased with the way the underlying portfolio operates. I mean, we continue to operate at a combined ratio, as I was saying which is around 95%, exactly as per plan - as per the assumption of the plan.
Michael Haid: But Ogden is not the Q3 event, right? It occurred in the first quarter.
Victor Peignet: Yeah, yeah. Well, I'm talking of year-to-date combined ratio.
Michael Haid: Okay. I was talking about the Q3 combined ratio.
Victor Peignet: On quarterly basis, you can have the bit of - what is our normalized question [ph] on Q3? Sorry…
Francois de Varenne: So we can refer to Slide 34.
Victor Peignet: 95.4%, so for normalized on Q3 only. So I mean, we are not a business that is a quarter business, but 0.4% is within the margin, so for me, but year-to-date, which is a bit more relevant. We are just below 95%. So we continue to basically sail exactly in line with the assumptions of the plan, which is very satisfactory to me. Without any reserve release for the nat cat, I mean, our nat cat, we have taken them with no reserve release at also the only reserve release was the ones we did in Q1, soft and the Ogden right change.
Michael Haid: Yes. Okay. Perfect. Thank you very much.
Operator: Thank you. We will now take our next question from Roland Pfaender of Oddo BHF. Your line is now open. Please go ahead.
Roland Pfaender: Yes, good morning everybody. Two questions if I may. I would be interested in your short-term business opportunities post-hurricanes in U.S. Are you actively selling backup covers? Is there a high demand? Can you indicate any pricing there? That's the first question. The second question, life reinsurance. Could you talk me through your in-force management actions? Do you see there, maybe, a threat that those actions might lead to negative IFRS impacts going forward? Thank you.
Denis Kessler: Backup cover, Victor?
Victor Peignet: We have not been actively seeking backup covers. I mean we have looked at few better covers from clients that our clients allow us, and we have tried to respond to their needs, but this is really a handful of backup covers that we sign. So to me not significant at all.
Denis Kessler: There was some demand, yes, of course, true, but –we didn't follow-up, Paolo?
Paolo De Martin: Yeah, when you look at, what we call, the active in-force management, there are really two areas, we've been working on over the years. One is working with our retro partners to optimize a retrocession structures. And the second is really working with our clients on treaties, which are not performing as expected. Now on neither of these two areas at this point with any plan to activate, any actions that would have a negative IFRS impact.
Roland Pfaender: Okay. Thank you.
Operator: Thank you. We will now take our next question from Guilhem Horvath of BNP Paribas. Please go ahead.
Guilhem Horvath: Yes, thank you. Just two quick follow-up questions. The first one and tell me if I'm wrong, but what I hear is, I interpret that as your cat budget shouldn't go higher than six points of common ratio mixture, am I correct? And the second question is on the €200 million potential capital relief from the merger of legal entities in France. Let's assume that in early 2011, you still have a 213% Solvency II ratio, would you return this capital fee freed up to shareholders or would you keep that in order to rebuild flexibility? Thank you.
Denis Kessler: On your second question, Mark, please - but we never said that we will only do share buybacks in case we are above the optimal Solvency rate, which is we want to chase the Solvency, and if we are into part of Solvency range. We can proceed to those capital management actions. So it has been said repeated it is not mechanical, we just need to have Solvency I to regions upper part of Solvency range, and be able to support the development of the group and pickup opportunities in terms of opportunities that happen, and it seems to be the case. Mark, did I interpret the policy rightfully?
Mark Kociancic: Excellent interpretation, it's really consistent with what we said at the IR Day, that we're comfortable being in the upper half of the - or the upper part of the optimal range of the solvency ratio that would not dissuade us from dealing with the €200 million benefit. And we would still use the same decision-tree that I mentioned before and referenced from the IR Day dividend policy question.
Denis Kessler: Victor, you had a question?
Victor Peignet: No, I think you're right, we've have no - we won't have a prior year reason to change in the budget.
Denis Kessler: Our budget remains at 6%.
Guilhem Horvath: Okay. Thank you.
Operator: Thank you. Unfortunately due to time constraints that was our final question on today's call. I'd now like to turn the call back to our speakers for any closing or additional remarks. Please go ahead.
Ian Kelly: Okay, thank you very much for attending this conference call. So those analysts attending the roundtable, we will see you later on today 5:00 PM UK Time, 6:00 PM European Time, and in any case, myself and the team are available, should you require any further information. So please call if you need to. Thanks very much and have a nice day.